Operator: Greetings, and welcome to the Build-A-Bear Workshop Third Quarter 2023 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Gary Schnierow, Investor Relations. Thank you. Please go ahead. 
Gary Schnierow: Good morning. Thank you for joining us. With me today are Sharon Price John, CEO; and Voin Todorovic, CFO. For today's call, Sharon will begin with a discussion of our third quarter performance and update the progress we've made on our key priorities. After Voin will review the financials in more detail and provide our guidance. We will then open the call to take your questions. [Operator Instructions]
 Please note the call is being recorded and broadcast live via the Internet. The earnings release is available on the Investor Relations portion of our corporate website. A replay of both our call and webcast will be available later today on the IR site. I will remind everyone that forward-looking statements are inherently subject to risks and uncertainties. Actual results could differ materially from those currently anticipated due to a number of factors, including those set forth in the Risk Factors section of the company's annual report on Form 10-K. We undertake no obligation to revise any forward-looking statements unless required by law.
 Also during this call, we may discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items, which management believes can be useful in evaluating the company's performance. The presentation of non-GAAP financial measures should not be considered in isolation or a substitute for results prepared in accordance with GAAP. If non-GAAP measures are presented, you will find information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to GAAP measures in the company's earnings release.
 And now I would like to turn the call over to Sharon. 
Sharon John: Thank you, Gary. Good morning, and thank you for joining us for Build-A-Bear's Third Quarter 2023 Earnings Call. We are pleased to again report strong results as we continue to execute against our strategic initiatives to evolve our business model by leveraging the power of the Build-A-Bear brand.
 As noted in this morning's press release, while we have revised our guidance to reflect some unexpected softness in the business starting in the latter part of October and continuing into November, we intend to stay focused on delivering our fourth quarter plans during the remainder of the most critical holiday shopping period as we continue to expect to deliver our third consecutive record-breaking year. Our results represent the best ever third quarter and first 9 months revenue and pretax income in Build-A-Bear history.
 Specifically, for the third quarter, revenues increased nearly 3% to over $107 million and pretax income increased almost 5% to $10 million. For the first fiscal 9 months of 2023, revenues increased 4% to almost $337 million and pretax income increased 12% to $40 million. We attribute our meaningful expansion and profitable growth over the past few years to the successful execution of our strategy and business model evolution. Note that the $337 million in revenue we generated over the first 9 months of fiscal 2023 approximate the $339 million in revenue recorded for the entire fiscal 2019, the last pre-pandemic year. Additionally, this revenue is at a significantly improved level of profitability, generating $40 million in pretax income over the 2023 fiscal 9-month period as compared to less than $2 million in the 2019 fiscal year.
 As a reminder, the three key strategic initiatives we have focused on that have contributed to our results, such as those noted above are, one, the evolution and expansion of our experienced location footprint; two, the acceleration of our comprehensive digital transformation; and three, the investment to support initiatives that leverage our significant brand equity to drive incremental growth. Some of the recent progress we've made across each of these initiatives include: first, Build-A-Bear experience locations are a critical part of what makes our valuable point of difference in the marketplace. We cultivate memorable and shareable one-to-one experiences with guests through our exclusive bear building process. We do this while capturing first-party and loyalty club data, enabling us to directly communicate to guests to drive further engagement and repeat purchases.
 Substantially, all of our stores are profitable and deliver on average greater than 25% annual store level contribution margin. These top-tier unit economics, along with independent research showing an opportunity for additional Build-A-Bear Workshop has led us to our recent domestic and international strategic market expansion. This store expansion utilizes a variety of business models, including corporately operated, partner operated and franchised stores.
 Last year, we saw net new unit growth of 13 corporate and partner-operated stores. Through the first 9 months of fiscal 2023, we opened 21 new stores and expect to end the year with 30 new corporate and partner-operated locations. Additionally, our existing international franchise partners have also started reinvesting in the brand's location expansion with the expectation of seven new franchise-operated locations by the end of this fiscal year, on top of the 63 that were opened at the end of our first quarter.
 Demonstrating both the business model evolution and global opportunity in the third quarter, we opened our first location in Italy. It is a store in a store utilizing our partner operated model. Recall, our partner-operated stores require little to no direct investment, producing high returns on capital. 
 The new location is in conjunction with the Milan opening of the [ Saint ] Toy Store chain handling, a longtime successful partnership for Build-A-Bear in their London location. We believe the strong initial success of this store further supports the potential broad geographic appeal of the brand. While expecting more stores in Italy, even as we are in discussions for additional Continental European expansion.
 Our second strategic initiative is a comprehensive digital transformation that touches nearly every aspect of our company and is designed to elevate our business efficiency, increase consumer engagement, and build incremental opportunities like gifting and personalization programs while extending the lifetime value of guests, both in stores and online to ultimately increase overall sales and profitability. More recent examples include upgrades in our corporate-wide business system, further integration of our website, CRM and loyalty program, as well as the current rollout of our new PRS system and other integrated in-store technology.
 Our third key strategic initiative is our increased investment to support growth. As we continue to generate favorable returns on capital, we are focused on driving our growth by leveraging the power of the Build-A-Bear brand. In addition to the capital associated with our footprint expansion and digital evolution, we have also been investing in content, product and concept innovation. Given our broad multigenerational audience, some of these initiatives take advantage of the increasingly publicized [indiscernible] trends. Examples in the third quarter include launching a productive and creative Halloween collection appealing to kids and adults who often look for unique items in our age-gated Bear Cave e-commerce site. Additionally, at the New York Toy Fair, we celebrated Build-A-Bear's first-time nomination for a plush Toy of the Year with one of our series of popular team-centric TikTok trend animals, the Axolotl.
 Also as a part of our ongoing entertainment and content strategy, at the New York Toy Fair, we premiered our new documentary, Unstopped, a Build-A-Bear story. This star studied film is available on demand through major digital platforms and Chronicles the amazing 25-plus year journey of the company's evolution from a mall-based retailer for kids to a global iconic brand.
 During the quarter, we also pre-marketed the early November release of our first-ever animated theatrical film, Glisten and the Merry Mission. The movie based on the characters and storyline of our multiyear top-selling holiday plus collection that has generated over $150 million in revenue since this launch, features Glisten the Magical Snow Deer that face Christmas, voiced by multi-Grammy nominated Leona Lewis and other top talent like Teddy Chase as Santa. While the film was originally expected to be distributed directly to streaming platforms as a holiday marketing catalyst, we were delighted to strike a partnership with Cinemark for a limited theatrical release and overlapping geography, featuring a unique multifaceted consumer engagement program, including in-theater stuffing events and co-marketing with a free children's movie ticket with the purchase of a furry friend at select Build-A-Bear Workshop.
 The movie launched in approximately 250 theaters and while we strategically scaled down screens through Thanksgiving due to the competitive film landscape, we are returning to distribution across the country for this weekend just as we kick off our core December Christmas marketing efforts. This film is also scheduled to be rolling out across a number of digital platforms in the U.S., Canada, the U.K. and Australia starting tomorrow. Of note, the collective marketing and PR initiatives associated with this effort have already generated over 4 billion media impressions, likely increasing our top of mind awareness as we move into the critical holiday season.
 So while we are excited about our content as pure entertainment vehicle, much of the strategic value is as a marketing tool designed to bring our entire consumer-facing communications to life. We believe our content will enhance and expand consumer engagement while supporting and even inspiring our product offering ultimately driving sales. In the case of Merry Mission, assets ranging from the art style to the tagline of the film, it's about believing, are optimized across multiple consumer touch points ranging from our Merry Mission music video and app to a holiday activation in our Roadblock Build-A-Bear Tycoon game with over 12.5 million players. To transforming of our Build-A-Bear workshops into temporary Santa's workshop inclusive of our beloved Bear Builders donning elf costumes.
 In fact, as a final example of our ongoing investment in new and innovative concepts we launched, supported by a dedicated commercial, our first animatronic interactive Make-Your-Own-Build-A-Bear called the Bear-lien Bear, inspired by the featured teddy bear in the Glisten and the Merry Mission movie. This unique bear-lien bear comes to life with blinking eyes, wiggling airs and pounds during the stuffing process, responding to the child's voice and touch as they explain I Bear-lien.
 Over the next 2 months, months, which typically represents the vast majority of our fourth quarter, we are intensely focused on delivering yet another record-breaking year for the company. We believe the combination of our integrated holiday marketing program informed by Glisten and the Merry Mission combined with a broad gifting message and a cadre of proven licenses from San Rio to Stitch provides meaningful tools to drive sales throughout December. Separately, as a reminder, unlike many traditional retailers, redemptions of gift cards, given its stocking stuffers drives ongoing traffic even the week after Christmas.
 In closing, while our sales were negatively impacted simultaneously with the widely reported consumer spending softness during the last 2 weeks of our fiscal third quarter, which continued into early November, our web business was further challenged due to the disruption caused by a new platform implementation during the period. However, we are encouraged to see that our overall trend has started to show some improvement as we head into December. And as we look beyond the current macroeconomic situation, we continue to expect to execute against our top priority and to the future, including the evolution of our experienced location footprint, the acceleration of our digital transformation and while still returning cash to shareholders, continued investment in our strategic growth initiatives to leverage the power of the Build-A-Bear brand. Our mission to add a little more heart to life is never more evident than during the holidays. And I would like to take this moment to thank our associates, partners and guests as we enter this magical season.
 Now I would like to turn the call over to Voin. 
Vojin Todorovic: Thank you, Sharon, and good morning, everyone. It's good to speak with you again today and share our results for fiscal third quarter and 9 months of 2023.
 Our performance was highlighted by growth across all segments, expansion in gross profit margin and an increase in pretax income versus last year. We attribute our ability to report ongoing positive results in a challenging retail environment to the increasing resonance and strength of the Build-A-Bear brand and the successful execution of our strategic initiatives as Sharon previously mentioned. Even with an increase in SG&A from higher wages due to inflation plus investments in marketing and talent for growth, we have continued to expand our margins, deliver a record profit and return capital to shareholders.
 Specifically, over the past 8 quarters, we have paid two special dividends and repurchased more than 1 million shares returning $86 million to shareholders. To put this in perspective, this return of capital to shareholders represents more than 20% of our current market capitalization.
 Turning to a more detailed review of third quarter. Total revenues were $107.6 million, up 2.9% year-over-year. Net retail sales increased 1.2% year-over-year with positive contributions from both stores and e-commerce. Store sales benefited from transaction growth offset by a decline in dollars per transaction. E-commerce demand increased 7.1% for the period. Total North American sales increased while U.K. sales decreased. We opened a net nine corporate stores year-over-year, including five stores in the quarter.
 Commercial revenue, which primarily represents wholesale sales to our partner operators and international franchise revenue rose a combined 36.2% versus the prior year. Our partners opened 20 stores over the trailing 12 months ending with 85 locations and our franchisees opened a net four locations over the past 12 months ending with seven.
 Gross profit margin was 52.7%, an improvement of 70 basis points compared to last year. Benefiting from merchandise margin expansion reflective of expected lower freight costs and leverage of distribution costs. Gross profit also benefited from growth in margin expansion in our commercial and franchise segment.
 SG&A expenses were $46.6 million or 43.3% of total revenues compared to $44.4 million or 42.5% of total revenue in the 2022 Third quarter. The 80 basis point increase in SG&A was driven by higher wages at the store level from inflationary pressures as well as the addition of talent plus investments in marketing to support future growth. As a reference, our SG&A rate is 700 basis points lower than in third quarter of 2019. Higher gross profit dollars plus interest income more than offset the increase in SG&A and led to pretax income growth of 4.7%. EPS aided by a lower share count and offset by an increase in tax rate was $0.53 per diluted share, a 3.9% increase.
 Turning to our results for the first 9 months of our fiscal 2023. Total revenues were $336.9 million, up 4.3% year-over-year. As Sharon noted, our first 9 months revenue was just shy of our entire fiscal 2019 revenue. Our store traffic also outpaced reported national traffic for the first 9 months of the year. Our store traffic growth, while it has recently moderated remains positive and continues to outpace reported national traffic for November.
 E-commerce demand is down approximately 2% for the first 9 months. Although the third quarter was positive, this was below our expectations. Over the last 9 months, we have seen volatility in that demand, largely due to new platform implementation as we remain focused on the evolution of our digital business. Additionally, the timing of new product launches as compared to last year contributed to the e-commerce demand fluctuations for the first 9 months.
 Commercial and international franchise revenue rose a combined 40.7% versus the prior year. Gross profit margin was 53.5%, a 210 basis point improvement compared to last year, driven by merchandise margin expansion, reflective of expected lower freight expense and leverage of distribution costs as well as from growth and margin expansion in our commercial and franchise segment.
 SG&A expenses were $140.5 million or 41.7% of total revenues compared to $130.3 million or 40.4% of total revenues in the 2022 3rd quarter. The 130 basis point increase in SG&A was driven by higher wages at the store level from inflationary pressures as well as the addition of talent plus investments in marketing to support future growth.
 Pretax income grew 12.5% to $40.2 million for the 9 months. Higher gross profit dollars plus interest income more than offset the increase in SG&A and led to pretax margin expanding 80 basis points to 11.9% of total revenue. EPS was $2.10 per diluted share, an 18% increase reflecting a lower share count offset by an increase in the tax rate.
 With respect to the balance sheet, at the quarter end, we had cash and cash equivalents of $24.8 million, an increase of $12.8 million compared to the same period last year. This was after returning $37 million to shareholders through dividend payments and share repurchases over the last 12 months. Inventory at quarter end was $64.5 million declining $23.9 million or 27% from the end of the third quarter last year and in line with our expectations. Keep in mind, last year's third quarter and inventory was intentionally elevated to avoid potential supply chain disruption. We remain comfortable with our inventory level and composition as we begin the fourth quarter and continue to expect to finish the year below last year's $70.5 million level.
 Turning to the outlook. Given the most recent challenges in the retail environment, we are revising our fiscal 2023 guidance. The full details of our guidance are included in the press release, but I will highlight two key metrics. Total revenues to now increase in the range of 3% to 5% growth compared to the previous guidance of 5% to 7%. And pretax income to now grow 5% to 10% as compared to the previous guidance of 10% to 15%. Please keep in mind that December and January have historically accounted for a significant portion of our fourth quarter revenue and our outlook assumes no further material changes in the macroeconomic and geopolitical environment. or relevant foreign currency exchange rates.
 In closing, I would like to thank all our store and warehouse associates as well as corporate teams for contributing to a record result, which even with the revised guidance has positioned us for our third consecutive record-breaking year in 2023. This concludes our prepared remarks and we will now turn the call back over to the operator for questions. Operator? 
Operator: [Operator Instructions] Today's first question is coming from Michael Baker of D.A. Davidson. 
Michael Baker: Okay. So I just want to clarify the fourth quarter outlook. So you said that December and January assumes no change in the macro environment and understanding those are big months. I guess what I'm trying to understand is does the implied fourth quarter guidance assume any pickup from the weakness you saw in October and November? I think you had said that you're already starting to see it come back a little bit as we head into December. But -- so does that full fourth quarter need any kind of pickup over the next couple of months relative to what you saw in October and November? 
Vojin Todorovic: So thanks, Mike, for the question. Definitely, as we talked about our results and our finish to Q3 was softer than what we expected. And as we mentioned in our November results only in the month have continued at that pace. But like later in November, and as we said right now as we are entering into December, our trends have reversed. So like we are contemplating that as we are projecting for our Q4 and fiscal year results EBIT in our guidance.
 When we think about some of those, and clearly, there are multiple things to consider. Definitely, there are some challenges that we called out from our web perspective that's not performing in line with our expectations. We also talked about our U.S. business has been stronger than our U.K. business. So there is a little bit more to that guidance than just necessarily extrapolating the current trends. But we believe based on what we are seeing in recent days than last couple of weeks, that we are properly accounting for that step in our projection for the rest of the year. 
Michael Baker: Okay. Makes sense. Two follow-ups on that. combined, I guess, because we're only supposed to ask one follow-up. But when you say the last few weeks have gotten better, I presume that means that the Black Friday weekend was okay for you guys. And then related -- the other thing you talked about is the web issue. Can you talk a little bit more about that? What happened? How much did that impact you? How should we think about that going forward? Do you have your arms around whatever the issue was? 
Vojin Todorovic: Yes. So Black Friday for us was good, not great. Definitely, we have seen sequential improvement when you are comparing our business versus prior year versus earlier in November. So there were some positive things. And again, some differences between different geographies, definitely, our U.S. business was better than other geographies, and we are seeing more of a positive improvement in that business compared to some of the other regions.
 When we think about the web business, we have been working on our digital evolution and digital transformation, and that's the ongoing process. And with some of the implementations, we had some challenges that impacted our business. We believe like that we are working on some of those initiatives to fix some of those things in place. Then that's going to be, over time, resolved. But we also talked about some of the product launches and timing. And so definitely, some of those things and how people are shopping we are still seeing more traffic that's coming to our stores, even though our web traffic is down, but like we are one of those retailers that like people are coming and we are driving more visits in our stores and that's definitely reflected in our year-to-date results. But definitely, there is some room for improvement on the web because being down 2% on a year-to-date basis is definitely behind our expectations. 
Sharon John: Right. And Mike, I'll just give you a little more color. In that -- when you -- obviously, when you're implementing upgrades to technology, some of it is not always associated with a "what you're doing wrong or what you need to fix". There's just a moment where when you're setting up a new platform or changing some sort of process that there's going to be some volatility in the results as you're kind of mastering the new technology. That also goes for the rollout of a new POS system. There's going to be times when you're down so you can put the new POS system as you're rolling across the entire enterprise.
 So that's why you -- when we look at things like this, if you're tracking the business that sometimes we'll talk about that kind of disruption. And it usually is around that September, October time period because that's a low portion of our seasonality, and we're trying to cause the least demand disruption. And that's -- and we have to stay focused on the continuous upgrade from a digital transformation perspective. There's so many new opportunities that are coming out for us to continue to optimize that business. And I would expect that there will be continued evolution for us to master and optimize that part of our business.
 Voin did mention that we did see some of that, too. Our web business tends to overindex on some of these core licensed products and things that are focused more on adult. And we saw some volatility in that. Some of it was timing. Some of it was performance on some of these key licenses that have delivered for us pretty consistently. But on the flip side, we're seeing strong results in our core holiday product and that has been the big contributor to a little bit of that turnaround in the last couple of weeks here. So there's a lot of puts and takes, and we're trying to balance that as best as we can, and we're looking out on the guidance. 
Michael Baker: Yes, makes sense. All right. I appreciate the color. Thank you. 
Operator: The next question is coming from Greg Gibas of Northland Securities. 
Gregory Gibas: Wondering if you could comment on any operating metric trends that you're seeing, specifically average revenue per customer versus maybe overall traffic customer count trends? 
Sharon John: Yes. In general, generally, as Voin noted, our traffic continues to outpace national traffic. We had people plan their visits to Build-A-Bear. Upwards of 80% of those visits are planned in advance. That speaks to the loyalty of the brand. And it also speaks to the wide variety of locations that we can have, whether we're taking advantage of tourist locations where there's a natural traffic in tendency, but even in some of the malls, which, by the way, there have been some positive reports on mall traffic recently. But in some of the malls, we're still a planned visit. So that's what drives that consistency with traffic.
 But as you're implying, and we mentioned kind of the flip side of that was we did see a little bit of a downturn in our dollars per transaction. That is possibly somewhat related to some of the softness in consumer spending, I would suppose. But it's also related to continued increases in -- which is a part of our strategy, our Birthday Treat bear, which is the offer for consumers to purchase a Birthday Treat Bear in the month of their birthday for the age they are turning. And the reason that's a really good -- we don't mind that metric is that it's our #1 acquisition tool. So when we talk about the integration of our POS system with our loyalty program with our CRM program, if the capture data of that, that allows us to pull that lifetime value through over the course of time. So those are a couple of the things that are impacting that. But yes, we've seen a little bit of softness in the dollars per transaction, and that is the offset of our strong traffic. 
Gregory Gibas: Great. That's helpful. And then as my follow-up, really nice to see the e-commerce demand growth outpacing overall and then also the expectation for the increased store count this year being at the high end of the previous range. And I guess the question is kind of a two part of -- what are maybe the expectations for the e-commerce business heading into the holiday season like relative to maybe performance at your locations like you expect it to continue outperforming like we saw in Q3? And then along those lines, where are you seeing attractive maybe new brick-and-mortar locations? Like I said, it's coming in at a faster pace and they're expecting to be 30 new stores this year. Curious if like we would expect a similar range next year, maybe 20 to 30. Anything you can share there would be helpful. 
Sharon John: In general terms, as we noted, the guidance still is inclusive of the best year -- most profitable year in our history. We're still looking at a record-breaking year for 2023. And as we noted, both REV and pretax were record-breaking through the first 9 months for the third quarter. So we want to be careful that we're not implying that the guidance shift is saying that we're going to be down for the year. We're expecting to grow for the year. And that is inclusive of -- we expect, of course, the web and our North American stores and our retail footprint to be up. That has to be a part of the equation for us to do that. But on the store count evolution and growth, we too are quite pleased with the expectation of the 30 stores by the end of the year. And we are -- as we noted in the call, pipelining additional stores, and we'd hope to be able to stick shift some more store count information with you at the end of the next call when we're planning out providing guidance for 2024. And we also shared that we expect to see some growth in Continental Europe based on the success that we saw in our Hamley's relationship in Milan. 
Operator: The next question is coming from Steve Silver of Argus Research. 
Steven Silver: It's also reiterating it's great to see that the guidance for the new location adds trending to the higher end of the previous range. It's also great to see the positive impact that the expanding footprint is having on company gross margins. Just trying to get a sense, without looking for any guidance for 2024, just given the fact that it looks like your pipeline for new locations maybe has brought some of those opportunities forward to launching in the second half of 2023. I'm just trying to get a sense as to your time frame for the potential for some of these newer location openings to contribute to 2024 results or maybe it's a little bit slower of a build. And then also maybe if there's anything you could speak to just in terms of the broader macro trends that you might be seeing in some of these markets where some of these opportunities were chosen to be moved forward given all the retail challenges out there. 
Sharon John: Well, as soon as we open the stores and start our marketing, we expect to see positive contribution from those stores. So you kind of look at the calendarization of those and there will be some we'll be anniversarying across the year as we opened them in the prior year. But they're usually -- well, that's our plan. They work right out of the gate. And most of the time, based on the fact that we're substantially 100% profitable, most of them do or we mitigate them quickly to the best of our ability. But yes, we have a very strong store process, which gives us the confidence to tell you the ranges that we've been able to provide over the last few years of the combination of our corporately operated and partner-operated stores and now some even increasing franchise stores. So that's a very, I think, strong and important part of our model. As I noted in my remarks, that Build-A-Bear workshop experience is the key part of our difference in how we create these valuable relationships with our guests.
 So -- and then the next piece of that is the integration of that with all of the digital technology that we talk about and the CRM and the loyalty strategy, which is why our strategy is what it is. The expansion of the store footprint, followed by the evolution of the digital transformation, which integrates everything that we do. So on the macroeconomic front, I mean, I think we've shared about as much as we know in that there's seem to have been some macro softness out there when you look at some of the reports in a number of sectors starting in the late -- what would be our fiscal third quarter, and it continued a little bit into the early parts of November -- we see -- as we noted, I think Voin went into more detail in his script a little bit of a turn and the trend and I noted it as well, going into the whole Black Friday, Cyber Monday time frame. And as we're turning the page on December, which the these next [ in line ], as you know, in retail in a business like ours, the combination of retail toy represent the vast majority of the quarter for us. We're happy to be going into it with a little more momentum. 
Steven Silver: Great. That's helpful. And best of luck with the movie launch on the holiday season. 
Operator: [Operator Instructions] The next question is coming from Nancy Frana of 1492 Capital Management. 
Unknown Analyst: My question really is about the Glisten movie and the release of it early and then the pulling back of it due to the competitive movie slate. That, coupled with the results that can you attribute to sales or the sales results that you can attribute specifically to that movie. Can you discuss that a little bit more? 
Sharon John: Yes. I think that -- thank you, Nancy. I think that it's important to understand, as we highlight in the script that the creation of content and entertainment for us, we created in the construct of primarily to elevate and integrate our characters and our story lines and our intellectual property with our marketing and create more engagement with our consumers. So as I noted, the original Glisten and the Merry Mission movie was based on our best-selling product line that we've had as a part of Build-A-Bear for many, many years, including Glisten being the #1 unit selling products for holiday time period. since we launched it. So that's over $150 million worth of products that we sold without any embellishment from a character evolution or character creation story arc.
 So when we first envisioned this, we want -- we initiated it as a tool as to create a marketing catalyst. That marketing catalyst was expected to be more in a streaming or digital environment, which will be starting tomorrow which is exciting. But Cinemark and Build-A-Bear created a very unique, very interesting relationship because Cinemark and Build-A-Bear are co-located in numerous malls in numerous markets. And it's a really natural interplay for kids to come to Build-A-Bear and then go to movies. And we do that a lot, even with our licensed film. And so it was the leveraging of that moment and that sort of proven tool to create stuffing events in some of the theaters where Build-A-Bear is just right down the hallway and create excitement, early excitement in the holiday business. And so indeed, we have generated, as I noted, over 4 billion impressions leading into the key holiday shopping period. The sales of the products associated with the film are indeed very positive.
 But the key there is that the objective is to raise the water level and get Build-A-Bear top of mind as, again, we turn the page into the highest potential opportunity, which is the big selling period of December for us. When you imagine the families coming into malls, visiting Santa, a lot of plans Build-A-Bear purchases, and it's a big arc of opportunity when you think about it. So the paring it down is there were multiple big budget films from major film companies that came out last week, the last -- in the middle 2 weeks of November. And so that was just a combination of working with our partner on how we wanted to manage that, and we're excited to go that nationwide this coming weekend, but then we will transfer to the digital side and drive that in-home view. 
Operator: The next question is coming from Zach Miller of U.S. Capital. 
Unknown Analyst: So I wanted to go back to the guidance. I think the implied fourth quarter at the midpoint is something like little over 3% revenue growth. So can you just help us with what's embedded in that from when we look at new store contribution versus same-store sales? 
Vojin Todorovic: I mean, so first, thanks for the question, Zach. This is one of those things as we are providing the guidance. You are absolutely right at the midpoint of the new guidance range. It shows that like mid-3s from the total revenue growth perspective. We don't specifically talk about comps, but definitely, we have opened some stores, and there is a mix of the stores that we are opening. So definitely when we talk about partner-operated locations when we sell to them on a wholesale basis, we are not getting the full retail revenue. So when you are looking at some of those sales, clearly, they are not going to grow at the same pace as your retail sales. So that's one of the pieces.
 What we talked about also is that we are seeing some softness in our U.K. business. So different geographies are going to be performing -- at least they performed so far at a different pace. So we are contemplating some of that. As well as our e-comm business has been softer than what we have planned late in Q3 and like so far. 
Unknown Analyst: Got it. And I guess without getting a specific number, I mean, generally, are you guys expecting positive comps in the fourth quarter? Or does the guide contemplate negative comps there? 
Vojin Todorovic: I mean just like if you think about low versus high end, like you can get to the different numbers, we are considering how some of the challenges from the macro environment, how prominent they were or like especially late in October and it was a big shift. So we are just trying to be cautious. And as we still have some big weeks ahead of us, and we just want to make sure that if these big weeks, if the traffic and things normalizes, you know like it's one outcome versus if you know you have the opposite. So we are trying to kind of like walk that middle line and just based on the information that we have control things that are within our control and execute and stay focused on profitability, stay focused on things that are directly within our control. And I think that's part of the reason we are able to grow even in the smaller numbers, still our profit and expand our profit, both from that margin as well as a pretax margin perspective. 
Sharon John: I think that Voin's point about the controlling what we control, I think that, that is a great note here because that is what we have done to the best of our ability over the past few years that have resulted in continuous profitable growth for the company. And there is a cautious optimistic attitude in that's embedded in this guidance. And I think that it -- given that there was a broad consumer pullback in the last 2 weeks of the quarter for us in the last 2 weeks of October, that we did our best to pause and respond, which is what we do quite well. And now we're seeing that momentum shift for us.
 But it really is just a matter of looking at the macro data and being as transparent as we can with the community. 
Operator: The next question is coming from Michael Baker of D.A. Davidson. 
Michael Baker: Okay. I figured I'd just ask one more follow-up on what you said about the dollars per transaction. You said it could be related to a slowdown in consumer but also could be related to the birthday treat situation. If I can push on that, I assume you have data showing that kind of stuff. So maybe I can ask it this way. Within the non-birthday sales, are you seeing anything in terms of lower dollars per transaction? And would that be a function of people trading down to lower cost bears or maybe fewer attachments? Or any other way just to take out the impact of the birthday thing and figure out what you're seeing in terms of dollars per transaction as because I think that's sort of an important metric to gauge consumer health? 
Vojin Todorovic: Yes. So let me try to add a little bit more color to that, Michael. Birthday Treat Bear represents a big portion of our new customer acquisition and definitely dollar per transaction that we associated with that particular product it's lower than our blended rate of everything else that people are buying. So if that grows at the path for pace, that's one thing that Sharon pointed out earlier, we like that because it's profitable marketing. Its marketing for profit in this case is we continue to drive more get and acquire them and still make some money and extend the lifetime value of these guests.
 At the same time, that's just one of the components that's driving that dollar per transaction down. As I mentioned in my remarks, our transactions are up, but the dollar per transaction is down. Count Your Candles program and Birthday Bear is driving that down. The other piece is all the other transaction, and that's a little bit more challenging to figure out like, okay, it is really what the consumer confidence is and like what choices they are making. But definitely, when you are looking at some of those metrics, they are down year-over-year, and we are seeing some change.
 But this is an area that we continue to stay focused because driving more transactions, it's really helping drive the overall -- we want people to come to our stores. We are going to continue to drive that. And again, providing great experiences. Always the goal is to upsell more. But at the end of the day, I'd rather have people coming to a store even if they are spending a lower amount versus not coming to a store at all. 
Michael Baker: Yes. Fair enough. One more real quick. I was going to ask if you think student loans led to that -- or repayment assumed loans, I should say, restarting those repayments -- led to the weakness in October. But if it -- I would presume maybe not if it is coming back towards the end of November or maybe the -- I don't know if there's any way to know if your customer may be sort of step back a little bit as we're restarting student loans and now they sort of have incorporated that into the budget? Or do you think student loans had anything to do with what you saw in October? 
Sharon John: I believe that the shift in consumer -- macro consumer sentiment in the second 2 weeks of October, which has been widely reported at this point, probably a large combination of things. Is that a piece of it could be. Can I link that directly to us. I really have no data to do that. But is it in the [ milieu ] of what consumers are considering when they do or don't chop or how many things they're choosing when they go or what price point they're willing to pay all of those things in some way could impact consumer confidence, but that would be a difficult stuff thing for me to link that directly to Build-A-Bear. 
Operator: Thank you. At this time, I'd like to turn the floor back over to Sharon John for closing comments. 
Sharon John: Thank you, operator, and thanks to everyone really for joining us today on our third quarter call. I did want to let you know that later today, Build-A-Bear is honored to be participating in the closing bell ceremony here at the New York Stock Exchange where we're having this call today. We will be following that bell ringing with the 100th anniversary Wall Street Christmas tree lighting celebration which we look forward to kick off this amazing holiday season. And the performance tonight will be featuring our own Glisten and Merry Mission theme song. So as you kick off your holiday season as well, we would like to wish you and your families a wonderful, wonderful holiday. 
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines and walk off the webcast at this time and enjoy the rest of your day.